Operator: Ladies and gentlemen, thank you for standing by. Welcome to the iHeartMedia 2019 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Kareem Chin. Please go ahead.
Kareem Chin: Good morning, everyone. Thank you for taking the time to join us for our third quarter 2019 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President, COO and CFO.  Please note that in addition to our press release, we have an accompanying slide presentation that you can follow along with our remarks. Before we begin, let me quickly cover the safe harbor on Slide 2. During this call, we will make forward-looking statements, including projections or estimates about the future performance of the company.  These estimates are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could materially differ, and these risks and uncertainties are discussed in more detail in our filings with the SEC. During this call, we will refer to certain non-GAAP financial measures. Reconciliation between our GAAP and non-GAAP financial measures can be found in our earnings release or in the presentation available on our website. And now I'll turn the call over to Bob.
Bob Pittman: Thanks, Kareem, and good morning, everybody. Thank you for joining our third quarter 2019 earnings conference call. We appreciate you joining us to discuss the significant progress we've made on achieving the goals that we've laid out last quarter as we continue to strengthen iHeart's position as the number 1 audio company in the U.S. Before I get into our performance in the quarter, I want to start by providing some context. First, audio has never been hotter, and iHeartMedia has leadership across all major platforms: broadcast radio, streaming radio, podcasting and social. We reach audiences on more than 250 different platforms, and that's 2,000 devices with approximately 135 million registered users, 20,000 live events and 211 million fans on social media. When you look at our scale, almost 2x the size of the next largest radio broadcaster, 2x the size of the next largest commercial broadcaster and almost 9x more fans on social media than the next largest radio broadcaster, it's even clearer that not only do we have unparalleled reach with consumers, but our audience engagement, it is also unmatched. In fact, consumers spend 30 minutes a day with us on average, whereas Google and Facebook's audiences averaged 26 and 18 minutes per day, respectively. Building on that reach and engagement, we've begun to see a shifting of media mix from other sectors toward audio. And as the leading audio company in the U.S., we're benefiting from that. The most prominent example of this has been Procter & Gamble, who've been a vocal leader about their shift back to radio and which just matched its strongest quarterly sales growth in over a decade. And we believe its performance since shifting its media mix back to include radio is no coincidence. The reality is consumers have never left radio. Radio's reach has remained constant, above 90% dating back to the 1970s, while TV steadily declined from 95% in the early 2000s to 86% today.  And as you look at our business, remember there are 2 segments that comprise audio. There's radio and there's the music collection. We operate in the radio sector. We have a companionship relationship with our consumers, which is critical to the advertisers, and we have the most favorable economic model. In addition to our position as the number 1 radio broadcaster in the U.S., our rapidly growing podcasting business also gains a significant strategic advantage from our strength in broadcast radio. Let me take a minute to provide some insights into our podcasting business and about the podcasting industry as a whole. First, the podcasting industry is growing rapidly and shows no signs of slowing down. In fact, the Forrester Research report that was published earlier this week estimated that the podcasting industry could reach $1 billion by the end of 2020. And iHeart is the number one commercial podcast publisher based on Podtrac's rankings, which are the industry standard for measurement. We're neck and neck with NPR and approximately double the size of the number three player in terms of both unique monthly audience and downloads. This is important to maintaining our relationship with the consumer and developing new revenue streams, which are driven and fed by our other audio platforms. It's no coincidence that the leading podcasters also have large broadcast platforms that we leverage to create awareness around and demand for our podcast. And new platforms continue to invigorate the iHeart platform. You've seen what we've done building out the iHeartRadio app, which is the leading streaming digital radio service, and we're now seeing tremendous growth from podcasting, which is accelerating at an even higher rate. Importantly, our podcasting business is not only growing revenue, but it's also profitable. Podcasting today is accretive to our total company margins. That's because we own our content and because we use our broadcast radio inventory to build demand for our podcast. This new revenue stream is incremental to our broadcast radio revenue. Our multi-platform approach to meeting listeners wherever they are continues to drive our performance and will be our guiding principle as we evolve our growth strategy. Our #1 priority is getting new advertisers to try us. And the more platforms we have, the more reasons they have to give us a try. Podcasting is the fastest-growing of these platforms. Last quarter, we outlined the three revenue pools we focus on and that tie to our growth strategy. Our third quarter performance reflects progress we made against each of our 3 revenue opportunities, which are: one, increasing our share of radio advertising spend; two, continuing to tap into the revenue pools of TV and digital advertising; and three, building new revenue opportunities coming from podcast and sponsorship.  Our results reflect our execution against these three initiatives as we grew total company revenue by 3% compared to a mid-term election year in 2018. Excluding the impact of political, revenue grew almost 5% year-over-year. This revenue growth was driven by strong performance across all our revenue streams, each of which grew year-over-year excluding the impact of political revenue. Digital had another strong quarter, up over 33% year-over-year, and networks also grew year-over-year by 9.2%. And we continued to see strength in our Broadcast segment, which outperformed the broadcast radio market and was up year-over-year excluding political. So our traditional radio business remains stable and growing, while our high-growth digital business continues to accelerate. Our adjusted EBITDA was only up slightly year-over-year due primarily to the decline in political revenue, which is our highest margin revenue stream as well as because of the revenue mix and costs associated with the acquisitions we made in the fourth quarter of 2018. The expected political revenue in the upcoming election year, combined with the normalization of costs associated with our 2018 acquisitions, should favorably impact margins in 2020. Importantly, we've continued to generate robust free cash flow, increasing our cash position to $277 million as of the end of the third quarter. This puts us well on track to reach our year-end goal of $375 million to $400 million in cash on the balance sheet. Again, our top capital allocation priority is to use our free cash flow to pay down debt. Now I'll speak a bit more about the operating highlights from the quarter, which clearly demonstrate our progress in delivering against our growth strategy. Our first strategy is increasing share of radio advertising spend, and we continued to distance ourselves from the broader radio sector, outperforming it by 320 basis points year-to-date as reported by Miller Kaplan. This outperformance is driven by our unparalleled consumer reach and our unique national broadcast radio platform. We're the only radio broadcaster with enough stations and markets to give us a national footprint, the only radio broadcaster with a master brand and the only radio broadcaster with market-leading multiple platforms. And we're also beginning to feel some strength in the broadcast radio sector overall, and there are a couple of ways we can look to tap into that. Second, we continue to work with advertisers to build unique marketing solutions that include audio. By doing so, we're bringing money that wasn't previously earmarked for radio into our revenue pool. We also have an opportunity to solve advertisers' problems with TV's declining reach and its large segment of light viewers by adding radio to the mix. Another way we're expanding our addressable market is with our automated self-serve advertising product called AdBuilder, which is now in beta. AdBuilder creates customized audio ads for advertisers using proven techniques to get their businesses heard based on information the advertisers share about the businesses.  Once an advertiser has listened to the professionally written and recorded ad, approved it and decided on a budget and dates, AdBuilder's automated process then creates a media plan that connects the ads to the right people in the right time. We believe that this represents a long-term opportunity for us to capture the long tail small business advertiser that has historically been unavailable to us because of the economics of using a live salesperson. We do want to be clear, however, that we expect the adoption period to be very gradual over the next 3 years to 5 years before it begins to reach critical mass.  More details on this to come, but we're extremely excited about the AdBuilder product as it aligns with one of the key revenue opportunities, which allows us to efficiently begin to address the 7 million small businesses that are uneconomic for our sales force to call on instead of just the 60,000 clients we reach today. The 2 big digital players have proven this market and the opportunity, and we're rolling out our product to serve it as well. Our next initiative is building new revenue opportunities coming from podcast and sponsorships. As I mentioned earlier, we're the number 1 commercial podcast publisher, and we have 2 growth vectors within podcasting, the growth of the overall podcast segment as well as increasing our share of revenue within that segment. We continue to expand our offerings with major talent that includes Shonda Rhimes, Will Ferrell and Chelsea Handler as well as major podcast brands like Stuff You Should Know, the most downloaded podcast of all time and podcast from our iconic radio talent, like The Breakfast Club, Bobby Bones, Elvis Duran and Colin Cowherd.  And we're able to continue that momentum by using our unique radio relationship with the consumer and our unparalleled reach to promote and extend audio content into podcasting. We think that others coming into the space is further validation of the power of podcasting that will definitely bring more listeners to the medium. I also want to touch on the sponsorship side where iHeartRadio's iconic marquee events have the highest awareness and desirability to attend among the major music events. We continue to see the strength of our slate of events this quarter from the successful iHeartRadio Music Festival that was hosted in Las Vegas in September through the announcement of our second annual iHeartRadio Podcast Awards.  Now in its ninth year, the festival brought together a line-up of the biggest names in music and was a dominant social media topic, generating a record 16.2 billion social media impressions. To put that in context, that's 2.5x bigger than the social impressions for Coachella in 2019. Our events are one more way for us to connect with our audience and are also yet another key entry point for advertisers. We have a strong fourth quarter lineup, including the iHeartRadio Fiesta Latina, which just took place on November 2 in Miami and the iHeartRadio Jingle Ball tour presented by Capital One, which will return in December, making stops in 12 markets, including New York, L.A. and Chicago. We look forward to providing more details about what's to come for 2020 on our year-end earnings call. And with that, I'd like to turn it over to Rich to discuss our financial performance in the quarter. Rich?
Rich Bressler: Thanks, Bob. We are pleased with our financial performance in the third quarter, which was driven by continued stability in our traditional radio business and strong revenue growth in our digital and sponsorship for these streams. Broadcast continued its trend of outperforming the sector, while networks grew both year-over-year and sequentially. Again, these two revenue streams together represent our stable core radio business. Our digital revenue growth was driven by our industry-leading podcasting, which continues to gain operating leverage as it scales. As Bob pointed out, we are well positioned to capitalize on this strategically important and growing area. And as you just heard, sponsorships continues to show nice growth as well. All of our revenue streams benefit from our multi-platform marketing solutions approach to serving our advertising partners, which is underpinned by the breadth of our asset base, the connection and level of engagement that our listeners have with our on-air personalities and content brands, our data and analytics capabilities and the strength of our iHeartRadio master brand. Taken together, these elements create a synergistic ecosystem that benefits from a largely fixed cost base, coupled with low capital expenditures and minimal working capital requirements, resulting in strong operating leverage and strong free cash flow generation. Now let's turn to Slide 8 and review our key financial results. On a reported basis, our consolidated revenue increased by 3% over the prior year period. Comparability of our year-over-year results is impacted by the fact that 2018 was a non-presidential election year. Excluding the impact of political revenue in the prior year quarter, revenues grew by 4.9%. Adjusted EBITDA grew by $1 million over the prior year, with margins improving sequentially to 29% in the quarter. Our margins declined year-over-year, down from 29.7% in the prior year period due to comparisons against the political year in 2018 as well as the costs associated with Stuff Media and Jelli, which have been compared to the quarter prior to which they were acquired in 2018. The decrease in political revenue, which, as many of you know, is our highest margin revenue and which was second half weighted in 2018 as well as our overall revenue mix and the previously mentioned acquisition-related expenses contributed to the revenue growth outpacing adjusted EBITDA growth in the third quarter. Operating income decreased by 24.6% due primarily to high depreciation and amortization expense as a result of fresh start accounting applied upon our emergence from bankruptcy and share-based compensation expense in connection with our new equity incentive plans. Turning to Slide 10, I will provide additional color on the performance of our revenue streams. The growth in our consolidated revenue is primarily attributed to growth in our digital and networks revenues, partially offset by lower revenues in our audio and media services, which was disproportionately impacted by political revenue since it also includes the more political revenue-sensitive Cats TV. If you exclude the impact of political revenue, we grew revenue year-over-year across all of our revenue streams. Digital revenue growth of 33% was primarily driven by continued growth in podcasting as well as our other digital offerings. Broadcast revenue decreased modestly by 0.6% on a reported basis, driven by the decline in political revenue. As a reminder, most of our political revenue is in the broadcast and audio and media service lines. Given that 2018 was a non-presidential election year, excluding the impact of political revenue, broadcast revenue was up slightly. In the third quarter, we continued to outperform the broadcast industry based on Miller Kaplan data, bringing our year-to-date outperformance to 320 basis points. Our leadership in the broadcast radio sector is driven by our master brand strategy combined with our unique data and analytics capabilities and client-focused marketing solutions platforms we've built over the last few years. This unique combination of capabilities enables us to access ad dollars that were not earmarked for radio, shifting mix in our favor and away from other mediums and forge deeper relationships with our advertising partners. Moving on to our networks business, revenue increased by 9.2% year-over-year, showing acceleration over our growth of 6.4% in the second quarter. This growth was driven by continued strength of both premier networks and total traffic and weather network. Sponsorship and events revenue increased 4.4% or up $2.3 million over the prior year. The year-over-year decrease in revenue of 14.3% at audio and media services was related to the impact of political revenue at Cats, and in particular, the political revenue decline at Cats TV, which is more pronounced relative to radio. Excluding the impact of political revenue, audio and media services increased by 0.2% year-over-year. Moving to our expenses. Direct operating expenses were up 8.3% in the quarter, primarily driven by higher variable expenses, including digital royalties, subscription content costs and production expenses related to increasing the number of podcasts we produce as well as higher compensation-related expenses, primarily resulting from comparisons to the prior year quarter before we owned Stuff Media and Jelli. We also incurred a $2.1 million increase in lease expense as a result of the adoption of the new leasing standard in the first quarter of 2019 and the application of fresh start accounting. SG&A expenses increased by 3.6%, driven by higher fees related to increased digital revenue, along with higher employee costs, primarily resulting from the acquisitions we made in the fourth quarter of 2018. These increases were partially offset by lower commissions as a result of our revenue mix. Corporate expenses increased 23.5% as a result of the addition of $16.7 million in share-based compensation expense compared to only $0.5 million of such expense in the prior year. This increase was partially offset by lower employee expenses, including variable incentive compensation and lower employee benefit expenses. Turning back to our consolidated results and looking at the items below the line. Interest expense increased $98.9 million compared to the same period of 2018 as a result of the interest incurred on our new debt issued upon emergence from Chapter 11 on May 1. As you may recall, we did not record any interest expense on our pre-petition debt while we were in bankruptcy. On Slide 13, there is a summary of our balance sheet. At quarter end, we had approximately $5.8 billion of gross debt outstanding and a cash balance of approximately $277.1 million. On August 1, we issued $750 million of new senior secured notes, the proceeds of which were used to refinance $740 million of our existing term loan facility.  As a result of this transaction, there's a $35 million annual reduction in required debt service payments in addition to the annual cash interest savings of approximately $4 million. Our primary capital allocation priority remains to use our free cash flow to pay down debt. And as we said on our prior earnings call, we will prioritize deleveraging until we get to around 4x leverage. At which point, we will reevaluate our capital allocation priorities and decide what course of action will deliver maximum value to our shareholders. If you turn to Slide 7, our investor deck, you will see how our business model facilitates the robust free cash flow generation that will drive our deleveraging. Our attractive revenue mix, cost discipline and operating leverage drive industry-leading margins. These translate to high free cash flow conversion, given our efficient and scalable capital expenditures, modest net working capital and constant attention to managing our balance sheet. Cash tax payments in 2019 for the period after we separated the Outdoor business will continue to be immaterial as we are not a federal taxpayer. However, we expect to be a full cash taxpayer by 2020. In the quarter, we generated approximately $151 million of free cash flow, which place us well on track to delivering on our goal of a cash balance of $375 million to $400 million by the end of 2019. Again, we intend to use a significant portion of that cash to reduce our term loan. By continuing to generate free cash flow at these levels, we are confident in our ability to delever at a steady pace. Looking ahead to the rest of the year, we are reiterating our guidance of revenue growth in the low single digits on a reported basis and adjusted EBITDA margins in the 27% to 29% range. Again, 2019 is a non-election year, and we are pleased with our projected year-over-year growth against this backdrop. We expect 2020 to benefit from the typical uplift we see in presidential election years with high-margin political ad spend favorably impacting both our adjusted EBITDA margins and free cash flow conversion. In wrapping up, we are pleased with our results and excited about the initiatives that we have in place to drive financial performance through our strong multiple platform positions and unparalleled audience reach. That positions us favorably to continue to lead and benefit from the audio revolution and create shareholder value. To be clear, creating shareholder value is our #1 goal. And now we will turn it over to the operator to take your questions. Thank you.
Operator: [Operator Instructions]  Your first question comes from the line of Steven Cahall from Wells Fargo.
Steven Cahall: Bob, maybe a couple of quick revenue questions to start off with. So digital was up 33% in the quarter. I think investors really see podcasting as a bright spot within media. Can you maybe just help us to frame what percentage of like the business is podcasting today? And maybe where it could get to? And then also on the political side, Twitter said they're pulling back from political advertising. Some of the TV broadcasters are already seeing really strong political revenues come in relative to where they were a couple of years ago. So could you maybe just remind us where you were in 2016 and '18 and help us give an expectation for 2020 political revenue? And I got a quick follow-up for Rich.
Bob Pittman: Okay. Look, I think on the digital, we've not broken out podcasting separately. And we -- you're exactly right, it's a big growth opportunity for us. I think you just -- as I mentioned, the new Forrester study came out, and they came out with estimates of next year of $1 billion in podcasting revenue. So we see two ways we grow in podcasting. One is we grow with that growth in that sector and the other is that we think we have opportunities to grow our share within the sector as well. So really two vectors of growth for podcasting. And by the way, the Podtrac October numbers just came out, and we hit another high in terms of audience. And we're -- and NPR is slightly ahead of us again this month, but we're about twice the size of the next largest podcaster there. So again, seem to have a very strong position there as well. In terms of political advertising, on average, we've done about $100 million in political advertising in the prior year.
Rich Bressler: Yes. And Steve, it's Rich, just before you get to your next question. I mean the only 2 things I'd add is just as a reminder, and we've continued to repeat this that podcasting is accretive in terms of the growth that Bob talked about to our overall margins for the company. And on political, which is our highest margin business, as you know, we expect to really get back to the political margins next year when it reverses back and the revenue reverses back into the company in 2020.
Steven Cahall: And then Rich, maybe just on the CapEx side, you've got that $110 million to $120 million number out there. There's a lot of growth in there, as you show in the slides. Should we think about that as like kind of a steady run rate, either in dollar terms or percentage of revenue? Or is it a little bit elevated this year as you're investing a little more, maybe coming out of the split? And then just related to that, you've got the target now leverage of 4x. Any timing you can place on that as to maybe when we might see you with an around 4 handle?
Rich Bressler: Yes. So thanks for the questions, so 2 things. On the CapEx, you should think about, and that's, we added that new page, I think it's Page 6 in the deck, to really give a kind of drill-down. And by the way, thank you for everybody for your feedback. We continue to evolve our presentations and a lot of it's based on all of your feedback. So on capital expenditures, you should think about that as a run rate. We've talked about, about $30 million a year of maintenance CapEx and about $80 million of other CapEx in there.  And then what we tried to do on Page 6 is to give you a little deeper look at it. And also, as we've talked about margin expansion and returning margins back into the 30s, 30-plus percent, hopefully this gives everybody a little more of a road map as we invest money into the company from a capital expenditure standpoint, that we get more efficiency, and therefore, you get margin expansion. And that's what that page is intended to shed some light on. In terms of what we've said in terms of getting back to 4, we haven't put out a specific date, but you could see we continue to generate significant amount of free cash flow. As you go into next year, again, even though we're going to be a full taxpayer, we expect to generate a significant amount of free cash flow. And I think if you just do the math, I don't think I'm saying anything that you all can't do, you get well into the 4s as you go into 2020. So, but we haven't specifically given the date of getting to 4.
Operator: Your next question comes from the line of Marci Ryvicker from Wolfe Research.
Se Hyun Kim: This is Se filling in for Marci. I just wanted to touch on the general advertising environment for spot radio in Q3, how is local versus national, what were your best-performing categories and what you're seeing in Q4. And then also, when it comes to digital revenue growth, what was the number adjusted for the HowStuffWorks acquisition?
Rich Bressler: Yes. Well, relative to spot, let me give you the, I'll take the second one first because that's just, there was, if you look at Q3 versus Q4, there really was not much contribution in Q3 other than some expense numbers. So the growth is pretty much and the way you're going is organic growth overall in terms of podcasting. It's pretty much organic growth on a year-over-year basis. In terms of the overall advertising environment for spot, look, you guys know as much as we do. That's out there. It still continues to feel pretty good. We've seen strength in things like telecommunications, financial services, media and publishing, and you saw we had 4.9% revenue  growth excluding political. And also, I would also just point out, we don't give adjusted EBITDA growth ex political, like some other people do. I'm not quite sure how you do that because you have to make so many assumptions. But I would tell you that, at least, directionally, our adjusted EBITDA growth would be above our adjusted revenue growth, just as an overall direction.
Se Hyun Kim: Got it. And it also looks like free cash flow came in higher in Q3 than what we were expecting. Any color on what drove the beat?
Rich Bressler: No. Look, we are -- we've said we have a tremendous free cash flow generation capability. We have a lot of levers to pull when you look at free cash flow, and we are aggressively managing the free cash flow -- by the way, as we should be. By the way, when you look forward a little bit into Q4 because I know there's been -- somebody asked me a question about this, just as everybody does their models, as a reminder, we do have some onetime payments in Q4 related to the acquisitions of Stuff Media and Jelli would total about $47 million. And then two, just through the rhythm of our cash interest expense. For example, like our $1.45 billion of senior unsecured notes, they have semiannual interest payments, which were in November and in -- and February of each year. And so -- but you go back and look overall, and Bob said this earlier, and I'm going to repeat it again, we've got the high free cash flow company reiterating a $375 million to $400 million of free cash flow for this year, continue to be on target for that. And we've got the stable revenue streams of the broadcasting network combined with the high-growth of digital. The capital expense I just talked about, below working capital investment, and we continue to aggressively manage our balance sheet and interest expense, and that's what drives this free cash flow.
Bob Pittman: I also want to just add one thing, Rich, too. When you talk about the CapEx that -- I think one of the reasons to break out the maintenance CapEx from the rest is that we have some discretion beyond the maintenance CapEx and ability to modulate that up and down, which helps us manage the free cash flow of the company.
Operator: Your next question comes from the line of Sebastiano Petti from JPMorgan.
Sebastiano Petti: I just wanted to see if you could provide perhaps a little bit of color on just your comments about driving equity value. The impairment, obviously, it goes hand-in-hand with the delevering. But I mean would you entertain certain asset sales or divestitures on the station side? Or are you more kind of referencing just being opportunistic on an M&A perspective as well?
Bob Pittman: I think it's less about M&A and much more about how we're operating the business. Our business fundamentals here, operated the right way, gives us great capabilities to create shareholder value. Clearly, just paying down the debt and using our free cash flow for that has a nice return profile. And as we think about our company, we think we've got the right footprint for the company both in terms of stations and in terms of our national footprint and our other assets. We think they all fit together quite nicely.  We've built a multi-platform company here. Not only are we about twice the size of the next broadcaster, broadcast radio, but we just talked about the lead we've got in podcasting as measured by Podtrac, which is the third-party measurement service that the industry uses. We've also got the leadership in digital radio. And social, we have a tremendous lead over the other audio players there. So we think having that array of multiple platforms gives us multiple touch points with the audience, an opportunity to touch them in many different ways as well as offering the advertiser this broad array of opportunities, and we're finding some advertisers who previously have said, "I don't want radio," have been interested in these other platforms we have and have come in. We have a couple of examples of people who came into our events or came into our podcasting who then turned into major radio advertisers. So we think it's a very important part of our holistic story and talking about audio to the advertising community.
Rich Bressler: And by the way, the other maybe data point I'd add or reinforce is one point out there that's, I think, a proof point of our asset base is you just look at our Miller Kaplan performance. We beat the industry by over 320 basis points this year alone. And if you go back over the last 9 years, on average, we've beat the industry by about 200 basis points. So again, we always should challenge ourselves as to the asset base, Bob and I and the rest of the management team and our Board of Directors, but that's a pretty good data point that we've got the right asset base.
Sebastiano Petti: That's great. And if I could just quickly follow up on the broadcast revenue. I think, Bob, you mentioned in your prepared remarks seeing some strength in the broadcast radio side. And I'm just wondering if you could provide any color on what that is. And I know in the past, you talked about turning bankruptcy has perhaps made, causing a little bit of pressure on the rate side in order to maintain volumes. Has that fully normalized at this point as well? And how should we think about that dynamic going forward?
Bob Pittman: We don't think about it as just watching rates. Unlike the TV business, we have a lot more inventory than they do. And we have some day parts like overnight, they're probably, if we're lucky, 30% sold out, but we still have a lot of volume opportunities. And if you look at our biggest opportunity, it is the, what will help us is SmartAudio. If we can get the data and analytics in and get more advertisers buying impressions, which is a trend, and you've seen some of the announcements out there in the marketplace, it will allow us to sell through all of our day parts to get the impressions, which is the biggest opportunity we've got in broadcast revenue. I think in terms of talking about the strength, I think there's a renewed interest in audio.  And I think people are seeing it as a solution to some of the problems they're having in digital, some of the issues they've got in TV, and they're not going to give them up. But what they're going to do is add more radio to the mix in order to get more reach, in order to get more cost efficiency and in many cases, to get a unique impact in terms of bottom line. You've seen, and I'm sure you know the story, you continue to see the performance of Procter & Gamble that has altered their media mix quite substantially and adding radio back, I think, this year, they may wind up being the number 1 radio advertiser. And I think that's been an interesting model that a lot of other advertisers have looked at. And if you look at the results of Procter & Gamble, since they've made this switch, they're hitting record results. So that further validates this move and the opportunities in using radio.
Rich Bressler: And just maybe I'd add one point, as you go and look into 2020, and again, we'll talk about 2020 on our fourth quarter, our year-end and fourth quarter earnings call. But one of the trends that we're seeing, the benefits we see is not only rising CPMs in television, which will continue in all likelihood because of it being a political year next year, but also the continued expansion and popularity of all the streaming services, and the new introduction of streaming services should put some, should cause CPMs to continue to rise, which we should be -- on the television side, which we should be a tremendous beneficiary of.
Operator: Your next question comes from the line of Zack Silver from B. Riley FBR.
Zack Silver: Okay, great. I wanted to just ask a little bit on self-serve. I know that it's in beta now, but you guys have sort of highlighted that this is a big opportunity to capture the long tail of smaller local advertisers. And I guess for the customers that are using this self-serve product so far, what is the reception to the product? And when can we see self-serve maybe impacting the revenue trends in the broadcast segment?
Bob Pittman: So let me start with the last part. We think this is going to be a slow adoption as it usually is when you're talking small business. They behave much more like a consumer than B2B. We haven't made any announcements on what we're seeing in the beta, although I will tell you one data point, which was one we were watching very closely, is of the people who have bought on self-serve so far, 0 have been a radio advertiser. So they're not moving off radio onto self-serve, but we're doing exactly what we intended to do, which is find a new segment of advertisers and bring them into the mix. And again, just for those who haven't followed it closely, I'll remind them that there are, I think, how many, 7 billion -- or 7 million small businesses in the U.S. We have 60,000 accounts. I think if you look at Facebook, I think they're -- how many have they announced? They've got about 7 million accounts and -- compared to our 60,000. And I think the majority of their revenue comes from those small accounts. So we think the long tail will be very important to us. It's going to take a while to get the adoption, and we're committed to growing that, investing in it and seeing the results.
Zack Silver: Got it. And then one on network advertising. I think that, that has been growing sort of mid-single digits recently and you got sort of a step-up, that 9% growth this quarter. Just wondering if that is a share shift from the network advertising pool or if the pool itself is growing?
Bob Pittman: I think it's probably both.
Rich Bressler: Yes, I think.
Bob Pittman: And I think you're seeing a trend of advertisers, especially the ones that come over from TV to add us to the mix, tend to look at us as a national platform, and they're trying to get us into the mix of their national. So you would expect to see a little more impact -- positive impact in national and network than you would in local.
Operator: Your next question comes from the line of Jim Goss from Barrington Research.
Jim Goss: Bob, I think you might have addressed this a little bit with the SmartAudio and buying impressions comments. The radio traditionally has been an intense concentration of profitable ad sales and drive times and then a lot of other times when there aren't so many profitable ad sales available. I know you've been able to use some of those promotional spots to push people into the app as an access point for your podcasts, and that's probably helped that business. I wonder if there are other ways you can address those other times between -- and I guess, political is part of that as well.
Bob Pittman: Yes, it is -- and look, I think you're hitting on exactly the right issue that I think this was an industry that fell in love with Monday through Friday, 6A to 7P was prime time. As we're now rolling out SmartAudio and looking at real analytics and looking at attribution for advertising, we're finding that, actually, every day part has big benefits. There's not, in radio there's not the equivalent of below the fold or auto starred or small side, that every ad is exactly the same ad and every consumer is exactly the same human being. And we can have impact 24 hours a day, 7 days a week.  This trend that you're seeing in the advertising business to move from buying spots and cost per point to buying CPMs and buying impressions is helpful to us. What this is leading to is the advertising industry, instead of planning media in silos, they're beginning to do cross-media planning, which means they'll be able to take all the media players regardless of the sector they're in and plan as one.  We think that's a very helpful trend for us and one that we're certainly supporting by bringing our smart audio capabilities up to speed, bringing our data and analytics into the marketplace at a level that they're accustomed to seeing from the big digital players. So we're, again, thinking, looking at, if that fills up our other day parts, tremendous growth opportunity, and we don't have to do much more than just be able to talk to the advertiser about those impressions in a way that they're accustomed to doing, which will tend to be impressions plus the CPM as opposed to a cost per point. And with that, is that, I think that's our last question, and we thank you for joining us today.
Rich Bressler: Thank you all.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.